Adrian Mulcahy: [Audio Gap] meet the CEO quarterly update with CEO, Coby Hanoch from Weebit Nano. So we're going to step through. I'll get Coby to make some introductory remarks with respect to the quarter, and then we'll work through your questions. We've got a pretty strict time line. So we're going to hopefully, we can conclude it in just around about an hour, but I'll be the timekeeper on this, Coby. So don't be concerned about that. But look, thanks, everybody, for joining us, a really big group that has joined us, Coby. So why don't I throw it to you for some opening remarks on the quarter to get us underway?
Jacob Hanoch: Thanks, Adrian. So welcome, everyone. Glad to have everyone here and talk to you again. Yes, we had another good quarter, strong quarter. Obviously, the big highlight was at the end of the quarter with signing TI. I think that was a really important milestone for us. I think you can follow the trend that we went through from SkyWater. We grew an order of magnitude to DB HiTek, another order of magnitude to onsemi and now another order of magnitude to TI, and we're really now dealing with the biggest semiconductor companies. And this is really exciting. The reaction from the world in the semiconductor space and in general, has been remarkable. And I think with TI and onsemi and DB HiTek, people see that this is really catching. This is moving forward. I always said that each deal makes the next one a little easier. So it doesn't make it easy. It makes it easier. We're still pushing forward. We're still not in what I call the tornado, but we're really heading there. And it's really exciting, and we're hitting the ground running with them. We're having a big kickoff meeting next week and really pushing forward this project. So that's very exciting. We had a lot of other good things happened in the last quarter. We finished the qualification of DB HiTek. So now we saw that we meet all of the JEDEC requirements, et cetera. And it's in the hands of DB HiTek now to really take it and do all the final bureaucracies and work on officially announcing to their customers, et cetera. There still are several steps that they want to go through, but it's definitely going in that direction. We already have some product companies that are designing with our ReRAM planning to tape out at DB HiTek. So we're starting to see the light towards that mass production that everyone is waiting for. It's everything always takes so long with these fabs, but it's moving. And we actually got wafers from onsemi, which was kind of record timing. And in a year from when we signed with them, we got the wafers. We have the dies now being tested. We have good initial results with those dies. So that's another important step forward and they are already working obviously as an IDM, they're working on their products and things. And we're very excited about the partnership with onsemi. And I would say the last point, of course, to note is we had another quarter of record cash coming in. I repeat what I said last quarter. This is based on all kinds of milestones and sometimes you just have several milestones hitting together or things like that. So I don't want anyone to have the expectation that every quarter will be a record cash quarter or that this is an indication of the future, but it is very nice to have that. So we are maintaining the guidance of having over $10 million revenue in fiscal year '26. Yes, I guess that's -- I'll let you go to the question part.
Adrian Mulcahy: Thanks, Coby. The question have started coming in. So what -- but one that's popped up straight away. I'll just get you to address, which is obviously part of the quarter and a good announcement. So Weebit has licensed, it's ReRAM technology to Texas Instruments. So can you talk us through the deal and the significance of the agreement for Weebit?
Jacob Hanoch: So Texas Instruments or as everyone refers to them, TI, they are really one of the top, I would say, 5 IDMs and really a major player in the semiconductor space. I think everyone knows they've been around for ages, and they've managed to maintain their position. TI has over 80,000 products in their price book. Of course, a lot of them are variants of each other, et cetera, but they're a very big player. They're the #1 analog player in the world. And it was a very long process. Actually with TI, it was almost 3 years to close this. So when I was saying even 2 years ago that we're talking to the majority of the big players, I meant it obviously. And you can see just some of these deals really, really took a long time. Weebit insisted on terms that it should get. Obviously, it's very easy to say, "Oh, we want to get this big player on board, and we'll just cave in and give them all kinds of crazy terms just to have them signed," but we're building a company that needs to be a big and strong company moving forward and with strong future revenues and everything. So we are well aware of what we have in our hands and the fact that today, I think the fact that TI, and obviously, they were looking around trying to see if they can get another option, something else that won't be with royalties or all kinds of things like that. So the fact that we ended up closing the deal for me is a great sign that we really -- we have a great technology. They were definitely impressed by it. We really are the only supplier, only, let's call it, serious supplier. There's obviously all kinds of other small things or whatever. But if you look at anything that's really serious, and we're feeling very comfortable, very bullish with this. They wanted to push straight to advanced geometries. They're not allowing me to say which one, but they are starting with an advanced geometry. They obviously have the option, which I'm quite confident they will want to materialize of going to the additional geometries once the first one is working. So we have definitely high expectations of this deal. The relationship is really good. We already have delegations that went to Dallas and sat with their teams. And as I mentioned, next week, there's going to be a big kickoff with a lot of Weebit people going to TI and spending several days getting the project off the ground. So it is a very exciting agreement I was at CES in the beginning of January. And everyone was all over us with this announcement, the bankers, the different institutions. Of course, customers and the press and everyone. So it was very exciting, and I think we're off to a very good start for '26.
Adrian Mulcahy: Just one question. Will we -- obviously, somebody is getting pretty enthusiastic. Will we see the same enthusiasm for Texas Instruments as we have from onsemi when it comes to tape-out time frames?
Jacob Hanoch: Each company is different and has its own internal bureaucracy and things like that. So I can't really say right now, but I can tell you that the beginning is very exciting. They are excited about the technology. They are very -- now that the agreement is signed, it's really -- you can sense that they are going to be putting a lot into this, and this is going to be moving very nice and very fast.
Adrian Mulcahy: Just another one on Texas. You mentioned in the past that a particular customer wanted an architectural agreement. Is Texas Instruments that customer?
Jacob Hanoch: So I won't go specifically into these things. There were -- we've been going with many of the customers that we're talking to. We've been going through a lot of different business models. And sometimes they get excited and they say we want to have one type and then they go and they say, no, actually, we checked it. And financially, we prefer another type of agreement. I think also the architectural license -- when we refer to architectural license, there was one of the fabs that just wanted on day 1 to say, "I want access to everything on all geometries. Then there were all kinds of backtracking and so on. At the end of the day, both onsemi and TI, I mean they want to look at this for not just one geometry and that's what's important. I mentioned TI has the option to go to additional geometries, and I'm quite confident once they see the first one that they'll decide to expand to additional geometries. So the terminology and whatever is more of a technicality for me, what counts is really the fact that we're moving forward now, and I do expect to expand in both of these major players to other geometries.
Adrian Mulcahy: Turning to AI. Is the new AI offering that's being led by Giddy and just storing weights in ReRAM? Or is it using in-memory or neuromorphic computing?
Jacob Hanoch: The near memory compute is actually more of using ReRAM in kind of the traditional sense. So you basically have an embedded ReRAM that replaces the big SRAM that people have. But in essence, you don't really need something very special for it. The place where ReRAM really shines is when you move to in-memory compute and then to neuromorphic. And Giddy is really looking at those kinds of applications and how to really make our ReRAM easily accessible. There's going to be a lot around it. One of the best examples is when you look at how NVIDIA grew. NVIDIA had hardware and GPUs for a long time. I think what's really pushed NVIDIA forward was when it added also the user interface layer, the CUDA. And that really made it so much easier for people to use their technology and really it made the whole AI thing blow. And I think that's what we're looking at. We want to have both the hardware and the in-memory compute requires the ReRAM to be designed in a different way. And there are all kinds of ways to do it, and we need to really research and decide how exactly we want to do it. And then there will be the algorithms, the software layer interface and all of that. So we really want to do something that gives a real solution for customers and not just some basic hardware sales or something like that. I think this is a very fast-growing space in-memory compute has huge applications. When you think about it, and without going too much into technology. But in AI, one of the key activities, the thing that it does almost all the time is what's called multiply accumulated, it multiply matrices basically. So it's not a broad, I want to do anything and you don't need these very complex programming and being able to do a lot of different functions. It's really one main function that you do most of the time. And it turns out that -- and by the way, that function when you do it in a traditional computer, you basically have a processor and you have a memory and the processor keeps reading from the data from the memory and then writing data to the memory, and there's a lot going on. And that's where a lot of time and a lot of power are spent. When you do in-memory compute, you basically don't move the data. It's in the memory and it stays in the memory and it doesn't go anywhere. And that makes the whole computation, orders of magnitude faster and low power consumption. So ReRAM is an ideal solution. I obviously think it's the most ideal solution for this. There are other memories that you can do in-memory compute with but ReRAM has the additional value that it's just very cheap to manufacture. It's much lower cost to manufacture and makes it -- and it's easy. You manufacture it basically on a CMOS line on a standard manufacturing line. So that's the big advantage that we have, and we want to capitalize on it. And Giddy is the best person for it. He has such a background and such a broad understanding of this that I can't think of anyone better than him to lead this activity.
Adrian Mulcahy: Next one. Last year, you spoke of possible future fab IDM customers, which may include a household name and an architectural agreement. Looking forward into 2026, are there any other descriptors which may describe future signings?
Jacob Hanoch: Well, I think after we signed TI now, you can't really go a lot higher than that. It's kind of you're already, as I said, in the top 5 IDMs, and you're really in a good position. I think TI is very much a household name. I mean onsemi in many parts of the world is also pretty much or close to a household name. TI is definitely a household name. It was a disappointment for me that we didn't manage to close the third deal that we were talking about, onsemi and TI both under the category of between AGM '23 and the end of 20 -- I'm sorry, AGM '24 and the end of '25. We really believed and hoped that we would have a third one. Some of these agreements, again, they just drag. Now with the TI announcement, it did give others a certain push forward, and we are meeting these guys. We are going to push forward. I believe, I hope that this year, we'll see additional agreements with people big and small and I can't commit yet to who and what, but we're definitely going to see much more activity moving forward now.
Adrian Mulcahy: With a lot of fabs selling out 100% of 2026 production. Will this reduce access to potential customer fabs and delay any deals with fabs and IDMs?
Jacob Hanoch: That is actually one of the factors that's impacting us sometimes when a fab is at full capacity, and it sees that for the next year, it's going to continue to have a full capacity. They have less of an appetite to go and make this big investment now on ReRAM. And by the way, when they make that investment, it's also -- they need to run ReRAM wafers through the line at the expense of running stuff that generates revenue. So that has been over the years when we're in touch with some of these big guys. That has been one of the factors that delayed the negotiations or really -- a strong engagement, I mean there's been an engagement, but really progressing forward. With some of the guys, it's just that, hey, the fab is full. We can see that it's going to be full for another year. We just -- management wants us to focus on getting the money in, right? And it's normal, and I can definitely understand them. So we just wait for the moment that they can start seeing that they're going to have a downtime and that makes it much easier to engage.
Adrian Mulcahy: Coby, here's kind of a simple question, but probably pretty important from a commercial perspective. So I'm hoping to get a better understanding of what Weebit Nano AI product offering may look like. What are the types of companies who would visit target market end users? And how does Weebit charge derive revenue?
Jacob Hanoch: So we are -- we are in the process of defining what we're going to be doing in AI. That's kind of the initial task of Giddy is to really analyze the market, analyze all the requests that we've been getting and talk to the customers that we've already had engagements with and define what we want to offer them. So I think it's a little too early for me to say what exactly that offering is going to be. I want to let him go and do his analysis and come with. He'll probably have several options, and we'll have a brainstorming session on how do we prioritize and what we want to do first. It is -- I mean I've been talking in the AGM and different meetings about how in-memory compute is something huge and so many companies are interested in it, and it is reaching commercialization already. In-memory compute is something that it's really consumer -- or commercial companies are already looking at it and wanting to move forward with it. So we really want to get something good. We want to learn the market. And we'll be, I guess, hopefully, in the next months or year. Over the next year, we'll be releasing more information on what exactly the plans are and it's probably going to be obviously a staged plan where we'll have some initial offering, and then we'll improve on that and grow and add, et cetera.
Adrian Mulcahy: Another very fundamental question. So your group suggested that ReRAM is forecast to increase 45-fold over the next 6 years, representing more than half of the USD 3.26 billion of embedded emerging NVM market by 2031. How does this directly relate to the TAM, total addressable market for Weebit that Weebit can address? For example, if Weebit gets 20% of the ReRAM market, would we get 20% of the $3.3 billion?
Jacob Hanoch: So the old analysis always challenges me because Yole did not think of Weebit revenues or the revenues of the semiconductor IP companies. What we understand from Yole is that -- what they did was they basically said a key market is MCU, microcontrollers. And in an MCU, the nonvolatile memory takes about 10% to 15%. So if the MCU market is USD 30-something billion, then we expect the NVM part of it to be 10% of that, and that's how they got to the 3 -- whatever billion that they put there. Now that's obviously the emerging NVM that they're expecting to see there. I mean, they took the 10% of the of the MCU market and then they extrapolated how much is going to be emerging, what percentage, and that's how they got to those numbers. So for me, the old numbers are, first of all, an indication of just how rapid the growth is going to be. And that's what I think most people or people should be taking from it is this is a leading analyst and according to -- I mean, when they do an apples-to-apples comparison of what they think is happening now and what they think will happen in 2030, they're kind of seeing this huge growth, and that's what people really should take. If you want to start doing your own extrapolation and say, "Oh, wait a minute. So if $3 billion is 10% of the MCU market, and Weebit can get -- I mean, average numbers that people normally talk about are 1% to 3% royalty from that, then this is how much potentially royalties are going to be, and this is the market share that I'm expecting Weebit to have. And everyone can do their own research and analysis on that and then think about the fact that there's beyond MCUs, there are other markets and so on. And of course, there's going to be the AI market, which is an adjacent market, but that's one. So I mean people need to do their own research here. This is kind of roughly how the basics of what we understood from Yole in how they did their analysis. For me, the important thing is just the message this market is going to really grow rapidly. Weebit has to be very focused. A company undergoing such rapid growth it's so easy to make mistakes, and we need to be laser-focused on what we're doing. I'm very glad to say we have the team that knows how to do it. And we have the plan, and we have been setting the infrastructure this past year, the announcements that you didn't see are all of the infrastructure that we set up, bringing in all these different tools that help you manage projects in an organized way tracking even the simple things like how many hours did this engineer put into onsemi and how much how many hours did they put into DB HiTek or into the R&D work or whatever, being able to track what's going on, being able to have the management and everything in an organized tool where you can get easy snapshots. Having -- we have now a PMO that's defining all the internal processes and procedures and really defining how do you do this? How do you do that? How do you manage all these things? So I mean, the customer success team that we set up, all of these things are going to enable us to go through this massive growth, really crazy growth, and it's going to be a lot of fun.
Adrian Mulcahy: Next one. Now the qualification at DB HiTek has been successfully completed. Can you explain expected time lines to earning license fees and/or royalties from that agreement?
Jacob Hanoch: So we basically went through the tests and we showed that we're ready. Now it's really in DBH, DB HiTek's hands. They need to see how they bring it to the production line or to their customers. They have their internal procedures and their internal ways of dealing with things, working on things like yield, et cetera. And so we are obviously waiting to see this move forward faster. But foundries, as you can understand. And I think as people have already learned, they have their own pace and so on. So we -- I definitely expect that this year we'll be seeing getting to mass production. But it's not going to happen tomorrow. They still need to go through their procedures. And I hope it will be done faster and not just drag over a long period of time.
Adrian Mulcahy: And Coby, just following on from that same kind of question. So the quarterly report mentioned that Weebit has several products in design and with the expectation of first product will tape out this year, is that through DB HiTek?
Jacob Hanoch: Well, we definitely have designs that are in DB HiTek right now, and I think it is reasonable to expect that we'll have tape-out of designs at DB HiTek this year, yes.
Adrian Mulcahy: Okay. Stepping back. So how far off are Weebit from signing deals with Tier 1 customers? Are we mainly dealing with smaller customers at this stage?
Jacob Hanoch: No, we're dealing with all sizes. We are definitely engaged with big companies, I guess, order of magnitude of TI and also smaller ones, and there's -- I know people are tired of hearing me say we are engaged with the majority of the big guys, but it is true. And with TI, it took us 3 years to close. I hope that with -- others will start closing faster. There are other big guys that we're engaged with already for a long, long time. That's how it works in semiconductor. Weebit is -- I think the key message to the shareholders is we want to build a big, strong, solid company, and we are not caving in or agreeing to what I consider unacceptable terms just in order to be able to announce that we have yet another customer or whatever. I could have done things -- we could have agreed to different terms that have enabled us to get big-name customers a long time ago. But it's not how you build a strong company. And in the beginning, it's very tough, and there's nothing that I would have loved more than to come and tell the shareholders, hey, we have another customer. I mean this it uncomfortable situation that I have to keep telling everyone we are engaged with these guys and we are pushing forward and people roll their eyes already, okay, how many times are you going to tell me that, but this is the only way I know to build a strong company, is to hold your ground, to know the value of what you have and to end up -- these guys will be coming in. They will come in. They don't have another option. They need to work with us. Now they're seeing that their competitors are moving forward. And this is what will enable Weebit to be a very big and strong company, and that's my goal.
Adrian Mulcahy: Yes. And Coby, I think it's probably fair, in this last quarter, there's evidence of investment in people, which is obviously a necessary pathway to executing on some of these opportunities. So I can encourage you on that. So next question. Outside of NDAs, does the partner section of the website list all product companies signed with Weebit? Or is there a lift maintained elsewhere?
Jacob Hanoch: I have to admit I haven't looked at the website for a while, so -- but I would say, Weebit, I think the shareholders have already learned. I try to be as transparent as I can, and we -- the partners, we haven't signed any agreement that is not -- I mean, any final agreement, definitive agreement that is not public. I won't go into what level of NDA and MOU and whatever other types of agreements we signed with companies. Once we get to a definitive agreement, that's when we announce it, and I believe that that's what you're seeing on the website.
Adrian Mulcahy: Sure. Next one, is testing of the demo chips at onsemi now complete? Or are there additional steps before qualification commences?
Jacob Hanoch: Well, we actually just got them. I mean, again, as I said, it's really a record time in 1 year to finish, to get to the point where you take out and to -- you already have silicon in your hands. That in itself is just amazing. The first tests are positive, but we have a lot of testing to do, a lot of checks to do before we get to the point that we say we feel like we're ready for qualification. So it's just the very beginning of the testing phase.
Adrian Mulcahy: Thanks, Coby. I think I know your answers to these questions. Did TI look at other ReRAM providers? And if so, what were the winning factor -- factors for Weebit?
Jacob Hanoch: Well, it's a question to TI. I can tell you that from what we saw and we understood and actually, they even told us, I mean, they definitely and you would expect a company like TI to check the market, right? You wouldn't expect such a big company to just say, oh, we like Weebit. They -- Coby waves his hands in a nice way or whatever, and we want to work with them. They did a very, very, very thorough analysis. They talk to their customers. They did the market check. They looked around. I'm sure that they looked around to see what other ReRAMs were available. I guess I have indications that they looked around. And I think that, at the end of the day, the combination of -- I mean, our technology is here. It's qualified. It's qualified at AEC-Q100. It's qualified for very extreme situations. For analog dies, it's really a great solution. I believe that the onsemi deal was also something that helped give them a little bit more confidence, but they met our team. We -- as I said, we sent people over to their site. They were sitting there for days in conference rooms and reviewing the technology and analyzing it. I mean it was a very, very thorough analysis that they did, and I'm glad that they were impressed by the team. I think that's the key factor. They saw the quality, the unbelievable level of experience that the Weebit team has. They saw the results, the technology. And I believe that -- again, it's a question for TI, but I'm sure that those were the key factors that they were looking at.
Adrian Mulcahy: Thanks, Coby. So what is the latest on the sub-22 Newton meters, 12, 14, 16 or teens process fab? Is this the fab that slipped from 2025 to 2026?
Jacob Hanoch: I really can't go into that. I apologize. But as I said, we're in different steps with different companies at a very, very, very broad range of geometries. So from the teens up to the 130 and even 180 sometimes, so it's really a very broad range. And once something materializes, we'll announce it.
Adrian Mulcahy: Thanks, Coby. Next one, how are discussions progressing with other foundries, IDMs? And have you seen an increased urgency from them since the TI deal was announced?
Jacob Hanoch: I mean things are progressing. I think I can definitely say that the TI announcement did make an impact. People noticed it. And I think that it did give a nudge to some of the people. Let's see now how much we actually managed to really leverage that and push them to closure. So it will be very interesting.
Adrian Mulcahy: A difficult one to answer here, Coby. But what sectors are you seeing the most customer interest from?
Jacob Hanoch: Well, I think the first one is easy. You look at onsemi and you look at TI and even to a certain extent, DB HiTek, they're all very strong on the analog side and the power management, et cetera. So obviously, that's the first sector that has been moving forward. By the way, when you look at the whole analysis on the slide that we normally show on the right-hand side, you can see that the first market they expected to grow was analog and that prediction is true. We also see a lot of interest from automotive. I mean, especially when we did the AEC-Q100, we see a lot of interest from automotive. But we get a lot of interest from medical companies, from industrial, from IoT. We have had discussions, quite a few even, with companies in the aerospace. So it's pretty across the board. But the first ones are really the analog, power management, automotive. Those guys are -- they have such huge advantages with ReRAM and onsemi and TI or their direct competitors. So those guys are the ones that are now feeling the least easy in their seats right now.
Adrian Mulcahy: Thanks, Coby. So recently, BM LABS ran a competition for their in-memory compute. Does that mean the Weebit product will optimize the ReRAM and include the algorithms?
Jacob Hanoch: Yes, I mentioned earlier, we don't want to just look at the hardware side of things. We believe that in order to really be successful in this market, you need to have the software and the algorithms and give people a development kit. So I mentioned NVIDIA, and that's a great example of a company where the real growth came when they delivered CUDA. So I -- for me, that's kind of the example that I'm looking at, and that's what Giddy's role is, to define not just the hardware but what should be the package, the development kit, what makes it really easy for people to adopt the -- our ReRAM for in-memory compute that it won't be just bare metal and then they need to develop everything on top of it.
Adrian Mulcahy: Thanks, Coby. Turning to the U.S., sort of the comments made with respect to the U.S. subsidiary. Can you provide some more details about the subsidiary in the U.S.? Is it aimed at building sales support? Or do you intend to build a technical team to support engineering projects, to accelerate commercial deployment as a result of a large number of engagements?
Jacob Hanoch: Yes. So actually, I forgot to mention that already with all the stuff that happened last quarter. I forgot to mention it when I talked about the summary but definitely -- I mean, we're seeing significant interest in Weebit, in our ReRAM in the U.S., in North America. And it really became -- the time has come that we needed to set up already a local presence, a local subsidiary. It is focused on sales. Now sales is a very broad word. It's -- for me, sales means, more than anything, very, very strong customer support. I want every customer working with Weebit to be successful, to be happy. I've been doing sales for so many years, and I know that when people are happy, yes, they might tell a friend or so. When people are not happy, they'll tell the whole world, and you have a real problem. So I just want to make sure that we have really good success stories with these customers, that everything goes well. People know that when they come to Weebit, they get quality support. We definitely demand to be paid for it, but people will know they get a good technology, good support. We have already a lead technical person in the U.S. now who's setting up the technical support activity there. And then he is a very experienced person. He came from another ReRAM company and has done a lot of work there. So he's very experienced in ReRAM. He knows what we're doing. And I'm very happy to have him onboard. So yes, this is going to be a very strong sales organization.
Adrian Mulcahy: Thank, Coby. Next one. The quarterly report says Leti have achieved many milestones this quarter. What are they?
Jacob Hanoch: We talked about Leti milestones? I somehow don't -- I don't think we mentioned Leti milestones. We -- I mean, oh, okay. I think I know what you're talking about. So traditionally, when you look at the Weebit reports, and this thing comes up every year after December, Leti works according to the calendar year, and they kind of structure the different work packages. So many of them have a major milestone in December because they want to be paid before the end of their fiscal year or calendar year. So you can see it every year that the big expense that Weebit has on R&D is in the last calendar quarter. And that's what happened to us now. So we basically -- in the notes to the expenses, we mentioned that there was a big expense to Leti because of these payments. There wasn't anything special specifically in this quarter. We have very good cooperation with Leti. We have ongoing -- a lot of R&D work that we're doing with them. They are a great partner. I said that many times, and I'll say it again. We're very happy to work with Leti. And the payments just happen to always kind of somehow coincide in December. They really like us to pay us as much as we can in December. That's how their finances work.
Adrian Mulcahy: So on AI now. Will the AI offering be aimed at the edge or data center?
Jacob Hanoch: I think the edge is really where we see ReRAM shining at this point. The edge also in terms of capacity of memory, et cetera, we are able to address much easier. So I mean, it's really Giddy's job to define what he wants -- what he thinks we should be doing. And I want to give him his space to really analyze the market and come with his recommendations. So again, we'll just have to wait until -- by the way, we already hired a PhD in AI to work with him, and that's a team that we'll want to grow so that they can really do a good analysis and come with good recommendations. I don't want to just decide on what their conclusions will be before they do their studies.
Adrian Mulcahy: Thanks, Coby. There are a couple of anonymous attendee questions, and we normally -- it's not really a great way to submit your questions, but let me just go through a few of them because everybody else has actually nominated who they are, which I think is really important for them. But Coby, just this one.
Jacob Hanoch: I agree.
Adrian Mulcahy: Yes. But some of these are interesting, so let me just go -- and I think probably this would be on the minds of some of the audience anyway. But the company previously targeted 3 new licensing agreements with fabs, IDMs by the end of 2025. With onsemi and TI secured, the third has slipped into 2026. Can you provide color on the status of negotiations for this third agreement?
Jacob Hanoch: Actually, there have been several that were candidates to be the third. It's not just one. These things sometimes, as I said, drag out for all kinds of reasons. So we are continuing the discussions with these guys. I -- again, we'll announce when we close it, when we do because many times, there are surprises that just cause things to drag a little longer than we expect. So I don't want to just try to predict and then -- it's really in the hands of these fabs, the speed that we progress.
Adrian Mulcahy: This is a question that I've had from a number of investors, Coby, and you have, too, but just probably worth sharing with this audience around DB HiTek qualification. So can you explain why this wasn't announced to the market via the ASX? And what are the next steps with DB HiTek, which I think you've spoken about already?
Jacob Hanoch: Well, maybe it's a good opportunity. People know that I've been struggling, that was an understatement, with the ASX regulation, disclosure regulation, et cetera. I won't go here into the issues there. But sometimes, I joke that closing the announcement on TI was harder than closing the actual TI agreement, and it sometimes feels that way. So it is a challenge for us, the whole ASX regulation. I believe that, moving forward, many times, we will not be making ASX announcements. We'll just wait for the quarterlies to announce things. It will just be easier. There's just so much time and effort that I can spend on these things. And yes, let me stop at this point.
Adrian Mulcahy: No, no, that's fair point. I can hear and feel your frustration, Coby. So just -- you may not be comfortable answering this question. But outside GF, have any opportunities been lost?
Jacob Hanoch: I don't consider GF lost by the way. I don't -- I mean, I -- you can see, GF is right now struggling to try to make whatever they're doing work, and they haven't qualified it. I mean they are late on their schedules. But I don't want to go into GF. I believe that Weebit has and will definitely, in the future, have the best ReRAM technology in the market. This is our goal. We're investing a lot in R&D. You know how many people asked me in the last month, so when is Weebit going to be breakeven? And guess what, I can just stop the massive R&D investment and I'll be breakeven today, right? But that's -- I'm sure that that's not what the shareholders want. We are investing heavily in R&D. We want to continue to improve our product. We want to be -- to have undoubtedly the best ReRAM in the market hands down to the point where -- and I tell people, to me, it's a fact. I don't even consider it is an if. One day, someone will come and go to GF, go to TSMC, go to UMC and all these other guys and say, hey, guys, I want to manufacturer here, but Weebit has a much better ReRAM for my application, in my specific SoC or whatever. They give me better support, or I want to use Weebit, and that customer will be big enough to actually move the needle. And those fabs will agree because, at the end of the day, these fabs are making money off of selling wafers. They're not making money off of ReRAM. I mean the decision to try to develop a ReRAM at GF, that's something that you need to ask their CEO, what the logic was. I won't go into his considerations, and I don't understand his considerations. But all of these guys, all of them, I do look at them as potential customers. I don't look at any one of them as a lost opportunity.
Adrian Mulcahy: Kind of coming to our final questions now, we seem to have exhausted the audience, and there's a bit of feedback saying thank you for the session, by the way. I just thought I'd share that with you. But just going back to the investment in the people, which, as I called out, is a really important initiative for your business. So which parts of the business have the new staff been appointed? And where do you expect new staff to be appointed over the next couple of years?
Jacob Hanoch: So I think that right now, the place where we need more people is the whole -- the staff that supports sales, that supports customers. So we need -- on the design side with each new customer, especially when we start talking to product companies -- and maybe this is a good place to kind of explain a little bit how good IP company functions. A good IP company always wants to have a lot of royalties come in. And when you talk about the royalties, when you talk about the product customers, the goal is to have as many of them use your standard modules. So you want to have a certain set of modules that you develop. And then most people, the vast majority will take one of those, and you'll basically have 100% margin on those sales. So that's really where I'm focused. I -- we want to get to the point where the product company -- well, we have a lot of product companies coming onboard, et cetera. Obviously, that's not now. That's not this year, but it's going to happen. And we want to have that offering of these base designs or modules and then basically get very, very high margins on the royalties that we get there. But some of the customers will need additional tailoring, additional help. They will be paying us NRE so that we help them optimize the module in their SoC, and that will happen also. So right now, the work on the design side is where we need to have some growth as we -- especially the first product companies, they require more support. We don't have that big library of modules yet, so we need to develop it. And right now, we're going to have -- if I look at the budget for this year, the biggest growth is going to be on the design side and supporting the sales activities.
Adrian Mulcahy: Thanks, Coby. So there is one other question here, a relevant question. Are there any plans to get additional broker coverage? I think I know the answer to this one.
Jacob Hanoch: Well, it was challenging to start getting some of the brokers to cover us, and I'm very thankful for both UCP and MST now. I think they're doing, by the way, an amazing job. I have to give the complement to both [ Jona ] at UCP and Andrew with MST. It's unbelievable how they picked up. They both started from practically 0 knowledge of semiconductors, and they really went through very intensive studies in order to give coverage, but I think they're giving very good coverage. So I recommend people to actually go and look at that. And I really hope to see more coverage starting this year. Hopefully, now more people are realizing that this is an interesting technology and an interesting company.
Adrian Mulcahy: That's very good. I'm sure that [ Jona ] and Andrew would love that, but they're both high-quality analysts as you and I both know, Coby. Here's a bit of a tongue-in-cheek question to finish the meeting. Coby, if I offer you a year of free ice creams and by the end of February, will you sign Analog Devices?
Jacob Hanoch: Someone knows me. I don't know if that was anonymous or not, but someone knows me.
Adrian Mulcahy: No, it wasn't. It wasn't. It's very good though. And just a final one. Just a final question, too, and then we'll get you to wrap up with some final comments, Coby, as well. So comparing Weebit to eMemory in terms of people, does -- Coby, do you forecast Weebit will have more design people?
Jacob Hanoch: Well, I just mentioned we're going to be hiring. That's the team that's going to grow the most this year. So we do need more design people. I am, by the way, very, very cautious with hiring. I had someone make the comment to me that he was looking at another nonvolatile memory that was in Israel in the past called Saifun, and he said, you know that today with 40 people, you're managing to do what Saifun had 200 people doing. So yes, we are very cautious in the hiring. We hired very high-quality people, but I'm very, very cautious with the shareholder money. I know that the money that we have today is basically money that we got from shareholders, and I'm very cautious in how I spend it. So we're trying not to grow to huge numbers, but at the end of the day, when sales grow when you have more customers, you need to grow. So we're doing a very delicate balancing act between these 2 things.
Adrian Mulcahy: No, that's good. I think investors always like to hear executives and boards talk about the discipline about deploying capital. So well done, Coby. So we've exhausted the audience, so wanted to throw back to you with any kind of closing remarks before we wrap up.
Jacob Hanoch: Well, I think calendar year '25 was a really, really good year for Weebit. It was a transitional year. I mean it started a transition. We're now engaged with big-name customers, onsemi and TI. We built that infrastructure being ready for the big growth. I think we're going to start seeing that during this year. It's still going to be tough. These guys don't move so fast. So '26 is going to be a year of really getting things moving a little bit more, I think maybe '27, the way that I see it, is going to be the year where we really will have that big tornado happening. But it's very exciting. We're having a lot of fun in the company. The AI activity now is very exciting as well. So I'm looking forward for another amazing year in '26, and I wish all of our shareholders a great '26 and that we'll all celebrate together.
Adrian Mulcahy: That's great, Coby. Thanks. It was great to share your insights with the group. And thanks, everybody, for joining us this afternoon. That's a wrap. Enjoy the rest of your day. Cheers.
Jacob Hanoch: Thank you.